Operator: Good day, and welcome to AdvanSix First Quarter 2024 Earnings Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Adam Kressel, Vice President of Investor Relations and Treasurer. Please go ahead.
Adam Kressel: Thank you, Cindy. Good morning, and welcome to AdvanSix's first quarter 2024 earnings conference call. With me here today are President and CEO, Erin Kane; and Senior Vice President and CFO, Michael Preston. This call and webcast, including any non-GAAP reconciliations, are available on our website at investors.advansix.com. Note that elements of this presentation contain forward-looking statements that are based on our best view of the world and of our business as we see it today. Those elements can change and the actual results could differ materially from those projected, and we ask that you consider them in that way. We refer you to the forward-looking statements included in our press release and earnings presentation. In addition, we identify the principal risks and uncertainties that affect our performance in our SEC filings, including our annual report on Form 10-K as further updated in subsequent filings with the SEC. This morning, we will review our financial results for the first quarter of 2024 and share our outlook for our key product lines and end markets. Finally, we'll leave time for your questions at the end. So with that, I'll turn the call over to AdvanSix's President and CEO, Erin Kane.
Erin Kane: Thanks, Adam, and good morning, everyone. Thank you for joining us and for your continued interest in AdvanSix. As you saw in our press release, our first quarter performance was impacted by the previously announced process-based operational disruption at our Frankford, Pennsylvania site, along with a delayed ramp to targeted utilization rates across our integrated value chain. The total unfavorable impact to pretax income in the first quarter was approximately $27 million, comprised of the impact of lost sales and other additional costs, including purchases of replacement products and incremental plant spend. This disruption was fully resolved in the first quarter and I would like to once again thank our customers, partners and teammates for the collaboration to mitigate impact on the value chain. Looking ahead to the second quarter and remainder of 2024, there are a number of operational and commercial tailwinds at our back. We returned to targeted plant utilization rates and are well positioned to serve our key customers, in Plant Nutrients as the domestic planting season progresses and in our acetone portfolio amid a tight global supply and demand environment. We also expect nylon industry spreads to modestly improve through 2024 off 2023 trough levels. Critical to our stakeholders, importantly our customers, I'm proud to share that in recent weeks we've achieved a number of external recognitions for our corporate social responsibility and sustainability performance. We earned our third consecutive Platinum rating by EcoVadis, received strong ratings by CDP for water security and climate change, and were certified by ISCC PLUS across our manufacturing sites at Frankford, Hopewell and Chesterfield. We had a proven ability and demonstrated playbook with our diverse product portfolio to navigate and manage through various cycles and macro dynamics, evolving as we go to meet the needs of our end markets. As a diversified chemistry company, we take pride in our long legacy of success and track record of serving as a trusted partner for our customers. We'll continue to position our business for long-term sustainable performance through our smart and disciplined investments and remain focused on accelerating growth in the most profitable areas of our portfolio. Now let me turn the call over to Mike.
Michael Preston: Thanks, Erin, and good morning, everyone. I'm now on Slide 4 where I will provide a summary of the first quarter 2024 financials. Sales of $337 million decreased approximately 16% versus the prior year. Market-based pricing was unfavorable by 9%. This primarily reflects reduced ammonium sulfate pricing amid lower raw material input costs and a more stable global nitrogen supply environment, as well as lower nylon pricing due to unfavorable supply and demand conditions. Sales volume decreased approximately 7%, primarily driven by lost sales resulting from the first quarter operational disruption. Raw material pass-through pricing was approximately flat. Adjusted EBITDA was approximately $1 million, down from $65 million in the prior year period. The impact of the first quarter operational disruption and unfavorable market-based pricing, net of raw material costs, were the primary drivers of the earnings decline. Volume mix and other items were unfavorable year-over-year, primarily reflecting lower production in the quarter. Adjusted earnings per share was a loss of $0.56. The effective tax rate was 25.7% in the quarter versus 21% in the prior year, primarily due to a larger tax benefit last year related to the vesting of equity compensation. We continue to anticipate our full year 2024 effective tax rate to be approximately 24%. Free cash flow was negative $72 million in the quarter compared to negative $23 million in the first quarter of 2023. Cash flow from operations declined $38 million year-over-year, primarily as a result of the lower net income and the impact of changes in working capital. Capital expenditures of $35 million in the quarter increased $11 million versus the prior year, primarily reflecting increased spend on enterprise programs and other maintenance projects. On a trailing 12-month basis through the first quarter, our debt leverage was approximately 2 times when normalizing for the impact of the operational disruption. We anticipate debt leverage to remain within our target range of 1 time to 2.5 times in 2024. We also anticipate free cash flow to improve in the second quarter sequentially on higher earnings. As a reminder, we incur an unfavorable impact on our cash flow in the first half from the unwinding of ammonium sulfate prebuy cash advances as we do each year. Now let's turn to Slide 5. Here, we highlight the key drivers of our first quarter adjusted EBITDA performance sequentially from the fourth quarter of 2023. In the quarter, we began to see tailwinds from a commercial perspective, with pricing over raw materials improving by $11 million. Tracking our key variable margin drivers, ammonium sulfate on a net price over natural gas and sulfur basis was up sequentially as prices strengthened through the quarter, coupled with lower input costs. Chemical intermediates price over raw spread increased as well, driven by an expansion in acetone margins over propylene. Performance across our nylon portfolio over our key raws was a modest headwind sequentially, while caprolactam was relatively flat. Volume, sales mix and other items provided improved performance of $7 million, largely reflecting lower nylon export sales in the first quarter compared to the fourth quarter. SG&A costs were approximately $1 million favorable on lower functional spend. Finally, as discussed, the operational disruption was $27 million unfavorable, and we had an additional $5 million of planned plant turnaround impact in the quarter. Now let me turn the call back to Erin.
Erin Kane: Thanks, Mike. I'm now on Slide 6 to further discuss each of our key product lines. Starting with nylon. We've seen global industry spread stabilize in the first quarter, while the Asia benchmark saw declines following the sequential improvement in the fourth quarter, though, as we expected, we are trending favorably, albeit slowly, off the 3Q '23 trough. Demand globally remains soft, while varying regional dynamics, including competitive intensity and trade flows, continue to impact regional pricing. Despite long supply/demand fundamentals, estimated operating rates out of China remain elevated, resulting in continued nylon exports to the rest of the world. Here in North America, demand has been stable, albeit on a lower base, with continued weakness in building and construction markets as a result of the higher interest rate environment. Supply has been tighter in the region with production downtime across the industry, which has led to modest pricing increases trending into the second quarter. For our business, we continue to focus on driving productivity to improve unit profitability, optimizing our sales mix through target customer selling while leveraging our competitive position to meet demand where it exists. In the fertilizer space, global nitrogen pricing began the quarter relatively steady and began to decline mid-March. In contrast, we have seen ammonium sulfate pricing strengthen through the first quarter and into the second quarter, amid continued sulfur demand growth and reduced supply in North America. While we did see cautious buying behavior at the start of the year, we've now entered the heart of the season with a strong order book and we are seeing strong pull out of terminals for product going to the fields to support nutrient demand for traditional corn applications along with growth on soybeans. The actions we drove to position ourselves to capitalize on the expected strength of the season is paying off. Lastly, in chemical intermediates, industry realized acetone prices over refinery grade propylene costs continued to improve in the first quarter with spreads sitting at multiyear highs. While acetone demand has seen softness, particularly into the large buyer end applications, with some downstream MMA producers taking turnarounds in the first quarter, we see supply is tight globally. This has been supported by persistent lower global phenol operating rates on reduced demand into value chains serving building and construction and other industrial applications. Let's turn to Slide 7. We're encouraged by our improved outlook heading into the second quarter with both operational and commercial benefits anticipated. Operationally, we returned to our expected robust plant utilization rates, ensuring we are well positioned to serve our customers across each line of business. We continue to expect capital expenditures in the range of $140 million to $150 million in 2024, reflecting increased spend year-over-year to address critical enterprise risk mitigation and growth projects. The projects within our SUSTAIN program are progressing well. We now anticipate reaching approximately 70% ammonium sulfate granular conversion by the end of 2024. As a reminder, SUSTAIN stands for sustainable U.S. sulfate to accelerate increased nutrition, and we continue to track this growth program to a robust investment return profile at our 20%-plus target hurdle rate. We also continue to expect the pretax income impact of our planned plant turnarounds to be $38 million to $43 million in 2024. Off-note, the timing of our larger turnaround has now shifted from the third quarter to the fourth quarter as we firmed up our planning for the year. As I shared, we see and anticipate positive trends commercially for ammonium sulfate and acetone to continue and are cautiously optimistic on nylon to modestly improve as the year progresses. The strength of our business model and our position as a diversified chemistry company will serve us well, and we continue to expect performance this year to demonstrate our resilience. We've consistently come through cycles a stronger company that can maintain robust investment for growth, sustain good cash conversion over the long term, and structurally improve the underlying earnings power of our business. Let's turn to Slide 8. To wrap up before moving to Q&A, I'd like to further discuss the recent highlights related to our sustainability initiatives and performance. As I mentioned earlier, we were awarded our third consecutive Platinum rating by EcoVadis, an independent corporate social responsibility assessment agency. The Platinum rating puts the Company in the top 1% of all companies assessed. This is a compelling recognition of the hard work and achievements of our AdvanSix teammates who embed responsible and sustainable business practices into delivering for our customers, communities and our stakeholders every day. In addition, we were once again rated on our water security and climate practices by CDP, a global nonprofit that operates the leading environmental disclosure platform. Our submission was recognized in the top leadership category with an improved A- rating for water security and we maintained our strong B rating for climate change. Both of these ratings compare very favorably with peers across the globe and within the chemicals industry. Finally, we recently were certified to the ISCC PLUS standard for three of our manufacturing sites, Frankford, Hopewell and Chesterfield. ISCC PLUS is a globally recognized voluntary certification system for developing sustainable supply chains. The certification validates the adoption of transparent and traceable practices, particularly for organizations applying a mass balance approach to track feedstocks and their sustainability characteristics. This also complements our existing post-industrial recycled and post-consumer recycled nylon product lines. By enabling solutions that reflect our sustainability focus while also helping our customers transform and meet their own environmental goals, together, we are building a more socially responsible future. With that, Adam, let's move to Q&A.
Adam Kressel: Thanks, Erin. Cindy, can you please open the line for questions?
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Charles Neivert of Piper Sandler. Go ahead, please.
Charles Neivert: Morning, guys. Just a couple of questions...
Erin Kane: Morning.
Michael Preston: Good morning.
Charles Neivert: On the nylon side, you said some of these export of nylon has been reduced. How far away are you from, I'd say, sort of that pre-run normal? And how long do you think it'll take you to get back there? And the other question is, from the downtime to the degree -- to what degree do you think it may have constrained your ability to move product into the agricultural space? I mean, how much product is lost in that respect? Or will you be able to catch up? And lastly, as you move to more granular, I know that you guys have talked in the past about granular and standard, and that the South American markets which take your product in the non-U.S. agricultural season tended to be more toward a standard side. Are they taking more granular now? So I'll stop it. I'll leave it there.
Erin Kane: Okay, great. So let's unpack that a bit here, Charlie. Thanks for the questions. First, on the nylon exports, as we had spoken last quarter, we had anticipated a higher rate of exports, consistent probably more with our exit run rate of 2023, which was in the high-20s. When we finished 2024, certainly with the operational disruption and our targeted focus on optimizing mix and sales, and certainly with our contract and domestic customers, that rate dropped to about 15%, which is a lot closer to what we've shared in the past as historical sort of norms. We think that will probably ebb and flow a bit here as we move through the year. Obviously, as production across the industry is constrained, and has been in the past couple of months. So, getting our value chain realigned here in North America. And then certainly, perhaps as we progress and see how the markets improve in the second half, whether we can maintain those rates or if certainly export will increase. But certainly our cost position in caprolactam allows us to meet demand where we need to. And then we're highly focused on the targeted selling, mix optimization and unit profitability in nylon. So, that's Part A. B, you asked about AS. I would say there's practically no impact to AS. We did go out and purchased in the first quarter. So that was -- so, let me reframe. Sorry, I was thinking more in the season here, because I think that's what you're pointing the questions to reframe, just to be clear. Certainly, sales in the first quarter for AS were down. But we did purchase to protect the heart of the season and our customer demand in Q2. So we are in good shape, as we are here now in the season, going to market and allowing our customers and farmers to be successful in their planning season. So, just wanted to clarify that. And then your third piece, relative to granular and standard. At the highest level, right, we're expanding our granular sales and, well, production to meet sales growth here in North America. And so, certainly we have and always have had limited export granular in the first half. And as we continue to upgrade that conversion level, those products are focused here for domestic. So we'll still maintain some sales in the export side. We've got some great customers in various regions that will continue to take the standard.
Charles Neivert: Thanks very much.
Erin Kane: Did I capture the essence of where you were or is there any further clarification?
Adam Kressel: Yes, Charlie. All right?
Michael Preston: Hello, can you hear us?
Charles Neivert: Sorry, what was the...
Erin Kane: No worries.
Operator: Excuse me, Charlie, would you like to respond?
Charles Neivert: I'm sorry, I missed the response. Sorry. What was that question back?
Adam Kressel: We'll come back to you, Charlie.
Charles Neivert: Okay. Thanks.
Operator: Okay. The next question comes from David Silver of CL King. Go ahead, please.
David Silver: Yes. Hi, good morning. Thank you.
Erin Kane: Morning.
David Silver: So I kind of have a scatter of questions here, so I apologize in advance if it hops around a bit. I listened with interest with your comments about how AS pricing has progressed during the run up to the planning season and timing looks very favorable. There is another issue that I was hoping you could maybe lend some perspective on, and that is the relationship between AS pricing and urea pricing. So there's always some variation and certainly different pricing points or delivery points have different relationships. But that said, I mean, by the information I've been tracking, I mean, it looks like AS pricing is unusually favorable for you relative to urea. And I'm just wondering if you could point to something that might have driven that relationship more in AS' favor. Is it your outage, for example? But more to the point, I mean, how sustainable would that unusually favorable or historically unusually favorable relationship persist? I'll stop there. Thanks.
Erin Kane: So maybe just to reground everyone and ourselves, we have nitrogen and sulfur in our ammonium sulfate product lines, and we talk about the relationship on nitrogen to urea because that is the largest nitrogen fertilizer and such that nutrient value for the nitrogen in AS. So we really are marketing and providing ammonium sulfate for this sulfur nutrition and certainly, AS is proven to deliver pound for pound the most readily available sulfur and nitrogen to a wide variety of crops. So when we price, we have that base consideration, which is why, like you said, you track where nitrogen is headed. But we really have always been focused on pricing to earn the premium for sulfur as well. And effectively what we are seeing right now is the value that ag customers in the value chain is placing on sulfur due to the yield benefit in what has become a tight market for AS as well. So it really is those fundamentals. There is a linkage to the base nutrient value, but again, that focus on the premium that's earned, and that premium is earned in a supply/demand environment. Sulfur nutrition is also growing, as we alluded to. Certainly, we see that demand growth. There is the work we've been doing on soybeans, and certainly several customers down the chain this season have reported a big uptake on sulfate use this season on soybeans. And so I think it's those combination of factors, David, that are leading to the opportunity and the pricing situation that we're in today.
David Silver: Okay. Thank you for that. And I was getting a little feedback when Charlie was asking one or two of his questions. So I apologize if I'm making you repeat yourself. But this goes back to your comment about increasing the percentage of your AS in the granular form to up to 70%. And I'm just kind of wondering, I mean, your sales strategies vary in different seasons of the year and other factors, but in thinking about having the flexibility, right, to increase the percentage of granular product, premium priced product to maybe 10 percentage points. As you look back, has there been a period in the past, I don't know, five years to 10 years, where AdvanSix wouldn't benefit from selling their maximum output in the form of granular? In other words, is this really adding flexibility, or is this just increasing the amount year after year that you intend to sell in the granular form?
Erin Kane: So we've been steadily increasing granular conversion within our operations for quite a period of time. And certainly the program here for SUSTAIN is targeting a total direction to get to 75%. We're tracking ahead of our original plan and reaching 70% here this year. And -- but the heart of it, the simple answer is no. There's not a time in history where granular wouldn't always be more profitable than standard. It is the growing form, right? When we think about mechanized agriculture, the development, the needs of our customers, particularly in North America, and it's just really, the fundamentals move forward. So very consistent with sort of long-term strategy. And the investment here allows us to take this really next significant step forward.
David Silver: Good. Thank you. That makes my modeling that much simpler. Thank you. I would like to switch over to your comments about nylon and how you anticipate some moderate improvement this year after what's been a very difficult stretch overall in that particular product line, nylon and capro. And I have to confess, I'm a little bit, I don't know what the word, I wouldn't say confused, but I'm questioning kind of the thought process behind anticipating an improvement. In other words, and I apologize, but you mentioned that nylon production rates in China continue to be frustratingly high. And I'm not really aware of a dramatic pickup in auto builds or, I don't know, capacity closures or regulatory actions, whatever, but maybe just a little bit of background or perspective on why you're anticipating after a very difficult stretch, why there should be some moderate easing in the fundamentals such that there might be some improvement or you anticipate some improvement in your financial results there. Thank you.
Erin Kane: Yes, it certainly is one where I think in the tone in the view is we are cautiously optimistic here. I can agree that when we think about sort of the macros, there are signs and considerations relative to continued sort of robust strength in auto and packaging. Those are the strongest segments in North America. And rightfully, sort of building construction is the larger end market. And that is the one that has lagged. And so, certainly as we look to residential and commercial construction and the opportunity set there, we, like many others, are watching this space associated with interest rates and other considerations that will allow more typical demand to come back in those spaces. And so that's sort of the North America piece. When we think about really the broader sort of Asia consideration, there are logistics constraints. Certainly, challenges in the Panama Canal and just sort of the Middle East are constraining logistics into Europe and coming sort of East. So there's -- there are some things that play out as we go. And the third, we would just say, is not all cycles perhaps repeat as history does, but we are extending into this downturn now relative to history. And when some structure usually comes back into the marketplace and you see that already in constrained operating rates in Europe and the rest of Asia, we've had Sumitomo shut down in Japan. So I do think that there are slow signs here. This is not going to be a fast recovery. We don't believe, but we should continue to see, or at least that would be our expectation of starting to tick up off the trough, which we have seen over the last two quarters and albeit it's slow.
David Silver: Got it. Thank you. I appreciate that. And maybe just one last question. This would be with your chemical intermediates segment or product line. And you did talk about the strength in acetone, but I was wondering maybe if you had some comments about the progress or whatnot on the U.S. Amines side of the business. in other words, the various intermediates there. And in particular, I believe agriculture is a pretty significant end market for the output there. And I'm just wondering if what you're seeing from the U.S. Amines intermediates side is jiving with your comments on ammonium sulfate as well. Thanks.
Erin Kane: Yes. No, certainly when we kind of think about broader ag, there really is a segmentation between fertilizer and then crop protection and ag chemical. And the U.S. Amines products fit into that ag chemical space, given that they're -- you're really flowing into the herbicide value chain. And we -- like we see others continuing to still report that there is destocking and sort of generally slow demand, which is again I think consistent with what we've seen others in the space report and certainly is what we're continuing to work through. So I think the sense is this is a season that sort of corrects the prior year, but that is a headwind for us in the U.S. Amines space. However, we continue to progress. Certainly the project pipeline that was part of the core investment pieces here relative to being able to grow the business, given the asset base that we acquired, and that continues to progress, so that is a positive here that we continue to watch forward here and stay focused on. And the market dynamics certainly should sort themselves as we come through into the next ag season on the base.
David Silver: Okay. You hit right on the aspect I was wondering about. Thanks very much. I'll get back in queue.
Erin Kane: Thanks, David.
Michael Preston: Thanks, David.
Operator: Our next question comes from Vincent Anderson of Stifel. Go ahead, please.
Vincent Anderson: Yes. Thanks. Good morning, everyone. So...
Erin Kane: Good morning.
Vincent Anderson: I think I'll just segue off of David real quick. Beyond agriculture and U.S. Amines, could you maybe just level set how your mix has been trending, say, the last two, three quarters? So, including things like your higher value nylon products, your film business, your oximes, kind of stacking up all of those little buckets and how that's looked? And if we start seeing a broader demand recovery, is there a bit more pent-up margin with those coming back in relative terms? Or has it been pretty stable?
Erin Kane: Yes, it's certainly when we think about those product lines that have stickier and more differentiated margins, as we've shared, have been impacted by the downturn, most notably, probably is our Nadone product line, which is a high purity application into solvents and electronics, and that is still quite weak. And so I think as we see that recovery, and certainly there's a lot of broader macro trends that should support that going forward, as you indicate, that will be a positive as we see that come through. And likewise, coatings in Europe have been of a headwind as well here on the oxime side for 2-PO or EZ-Blox. And so the differentiated products haven't been immune to the broader macro considerations, and certainly, as we see more broad-based recovery, that will come back in as a tailwind as well in the future.
Vincent Anderson: Okay. That's helpful. And then kind of a quick one on U.S. Amines. I think when you first bought it, you mentioned it had a favorable acetone contract, at least for the time being, but something like a swap agreement could be a possibility in the future to get that asset more closely integrated into your acetone cost structure. I'm just curious where we stand with how long that contract lasts? And if it still makes sense to be looking at getting it closer to your acetone?
Erin Kane: Yes, I think the easiest way to think about this, Vincent, here, is just like in all of our supply agreements and considerations that all options are open. We have a good relationship and partnership with the current supplier. The flexibility works. There is, as you could imagine, in this space, co-producer relationships given shutdowns, operations, whatever it may be, swaps come into play. And so I think it's simple to say we keep all of our options open relative to being able to drive the best decisions, profitability and growth for the company.
Vincent Anderson: Okay. Fair enough. And then coming back to the move and the turnaround schedule for this year, I'm just curious if any of that was driven by, like, a need to have more time to rebuild inventory ahead of it. And kind of given where it sits in the year, should we anticipate maybe a little bit less participation in the export markets in the third quarter for ammonium sulfate compared to a typical year?
Erin Kane: Yes. So, when we moved it, it's subtle, Vincent. It's about two weeks. So when we think about September into October, there were some customer accommodations that were - that we manage because we do impact folks like our CO2 customers and others. So, AS mix shouldn't really change significantly, but it's just a matter of just lining this thing up, and it's a modest move.
Vincent Anderson: Got you. Okay, that makes sense. And then just last one. Since you brought up your recycled nylon again, I wanted to maybe just touch base on how you're thinking about the commercial strategy there. If it's something you think you can basically place into a nice long-term supply agreement at attractive margins, or is this going to have to be a bit more nimble just based on how much demand there is for recycled nylon today?
Erin Kane: Yes. So I think it's probably going to be a bit of a mix as we move forward. Certainly we have customers that have been quicker adopters and have kind of layered those into their contracts. But certainly this is a lot of targeted selling with our customers that have strong interest with consumer-facing requests and commitments. And certainly the ISCC PLUS was a significant, I would think, step forward because there were customers in the packaging industry, and to some extent, those in engineering plastics as well that have been requesting this verification and certification as a substantiation of PCR and PIR. Well, that will allow them to now really assess this into their chain. So I think it's the right step forward. A lot of interest in these types of products, but a lot of work that has to go through the value chain to earn the premiums.
Vincent Anderson: Got you. And can you -- can we actually take like one step back and explain from an AdvanSix point of view, how PIR versus PCR works? Just because I only think of you as a virgin nylon producer, and so PIR makes sense. But I'm not entirely sure how PCR fits in.
Erin Kane: Yes. So certainly the post-industrial plays in through our asset base, right, and our capturing and recirculation looks. The PCR, by the certification, takes into consideration the materials we bring back from our partners.
Vincent Anderson: So basically wastes from their own manufacturing lines?
Erin Kane: Yes. Anything that lets a lot of this is oligomer recapture and we reincorporate that back into our system from our downstream customers.
Vincent Anderson: That's very interesting. Okay, I'll chew on that and maybe we'll circle back on it next quarter.
Erin Kane: You got it. Thank you.
Vincent Anderson: Thank you.
Operator: Our last question comes from Charles Neivert of Piper Sandler. Go ahead, please.
Charles Neivert: Dealers have had issues in the inventories, not their own, necessarily, but within the chain, and a lot of destocking. And largely, it seems that most of them commented that, that destocking was over with and they could sort of resume a more normal pace of sales. Did you guys run into any major destocking issues over the last few quarters? And if so, have they basically dissipated at this point? Are we done with them? And then going forward, we should see more regular cadence of sales going forward?
Erin Kane: Yes. Our sense is, again, we probably saw a variety of things here, depending on which line of business. I think certainly in nylon, we saw that predominantly through last year. And I think we would view that most of that value chain is sorted. And what we're seeing now is, I think, more typical demand signals that we would expect. In intermediates where we play, I think likewise there as well, with the outstanding consideration of ag chemicals, because where our materials get pulled through is in combination with other materials and until kind of those downstream materials are pulled through. But I would say we're -- we believe we're really kind of mostly done. And then ag, the goal there, as you well know, is to make sure that we have the inventories as low as possible at the end of the season, and that allows us for a strong reset into the fall, which would be our intent and expectation for this year as well.
Charles Neivert: That really clears it. And then whatever I missed on the last go around, the perils of working at home sometimes.
Erin Kane: Okay. Well, if there's anything we need to follow...
Charles Neivert: You guys could come back to me on...
Erin Kane: Yes. If there's anything that we need to follow up on, I tried my best to ensure that I tackled all three parts of your question, but I think we might have had some connectivity issues. But if there's anything that we can help to clarify, certainly reach out.
Charles Neivert: Okay. Very good. So I'll clear up anything I have missed. Thank you.
Erin Kane: Perfect. You bet.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Erin Kane for any closing remarks.
Erin Kane: Thank you all again for your time and interest this morning. We hope this call and discussion that clarify the operational and commercial tailwinds that are constructive and supportive to our anticipated rebound in earnings and cash flow performance as we head into the second quarter. We feel very good about the strategies we've implemented and our continued investments to support expectations for AdvanSix's long-term sustainable performance. I am confident this year presents a great opportunity to further maximize our value to shareholders. With that, we look forward to speaking with you again next quarter. Stay safe and be well.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.